Operator: Welcome to the Nucor Corporation’s third quarter 2008 earnings release conference call. (Operator Instructions) Certain statements made in this conference call are forward-looking statements that involve risks and uncertainties. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. Some of the important factors that may cause actual results to differ from our predictions are listed in Nucor's SEC filings. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligations to update them. For opening remarks and introductions, I would like to turn the call over to Dan DiMicco, Chairman, President and Chief Executive Officer of Nucor Corporation. Please go ahead, sir.
Daniel R. DiMicco : We appreciate very much your interest in Nucor. We will briefly review Nucor’s record breaking third quarter performance which is a direct result of our discipline and initiation of Nucor’s growth strategy and the exceptional execution by our operating teams. Our multi-prong growth strategy continues to deliver extremely strong, long-term returns on our shareholder’s valuable capital and we see more profitable growth still ahead of us. Both Nucor’s growth strategy and business model position us for delivering higher highs and higher lows throughout the economic cycles. Before reviewing our results I would like to say thank you and job well done to all 22,000 members of the Nucor team for delivering record third quarter earnings of $735 million and record first nine months earnings of $1.7 billion. This performance also set a new quarterly earnings record for Nucor overall, breaking our previous record of $581 million earned in this year’s second quarter. Nucor’s net income for the first nine months of 2008 was only $32 million shy of our annual record set in 2006 at $1.8 billion. 2008 will be a record year, our fourth in the last five years. As always, our teams are working safe, working smart, working hard and working together to take care of our customers and of each other. You have proven again that Nucor’s most significant competitive advantage remains our employees. The right people working together as a team. On behalf of myself and our entire team here in Charlotte I want to say thank you. I also want to extend a warm welcome to the newest additions to our Nucor family. In recent months we have expanded two of our growth platforms. Our David J. Joseph scrap business and our Harris Steel Rebar fabrication business. DJJ acquired Victoria Recycling and American Compressed Steel and Harris acquired Ambassador Steel Corporation. We are very excited to have each of these organizations become part of the Nucor team. Together we are looking forward to a very bright future of profitable growth. Again, welcome to all of you. The third quarter 2008 is Nucor’s nineteenth consecutive quarter of exceptionally strong profitability. Over this period our quarterly net income has averaged $387 million. To put that number in perspective our average quarterly net income since the first quarter of 2004 exceeds our prior record annual earnings attained in 2000, the last cyclical peak in the U.S. economy. This is worth repeating. The third quarter of 2008 is Nucor’s nineteenth consecutive quarter of exceptionally strong profitability and over this period our quarterly net income has averaged $387 million. Again, to put it in perspective our average quarterly net income since the first quarter of 2004 exceeds our prior record annual earnings attained in 2000, the last cyclical peak in the U.S. economy. 2008 is on track to be our fifth consecutive year of exceptionally strong profitability and as I just mentioned it will be our fourth record earnings year over the last five. Our team has done an outstanding job at generating higher highs. They have done it by building on our multiple platforms for growing earnings and shareholder value. Entering the fourth quarter the global economy has been negatively impacted by a crisis in the financial markets. What started out as a seasonal slow down due to temporary global market disruption such as the 6-month China Olympics effect and the Middle Eastern religious holidays has now been overwhelmed by worldwide financial crisis unique in both size and scope in our lifetime. The business environment has obviously become significantly more challenging for everyone including Nucor. There is no forward visibility on either the economy or our industry. These conditions are such that financial projections are not practicable. Therefore we will not be providing numerical or qualitative guidance at this time. We will give an update of our business at the normal time, midway between today and our next earnings release. What we can say is that 2008 will be another record year for Nucor and today our competitive position is stronger than ever both here and globally. If recent initiatives taken by governments throughout the world prove to be successful then businesses should see significantly improved access to credit, enhanced improved economic activity beginning early in 2009. We remain strong believers in the long-term strength of the global infrastructure build and the resulting bull market for steel. It is this global growth in steel demand that will help drive our growth and profitability in the years ahead. In light of today’s uncertain economic outlook I would like to review Nucor’s position of strength. Our company has unrivaled position of strength in the North American steel industry which is built around these foundations: Our balance sheet, financial strength and our conservative financial practices, our highly variable cost structure, our diversified product mix (the most diversified in North America), our stringent discipline of walking away from acquisitions if it threatens our acquisition principles and most important of all our people. These strengths are important. They position us to build upon Nucor’s history of taking advantage of economic downturns to expand our long-term earnings power. Our track record speaks loudly for itself. We emerge from downturns stronger than when we entered them. That is exactly what our team did during the last downturn from 2001 to 2003. Nucor’s disciplined work over this period positioned our company to deliver a six-fold increase in our cyclical peak earnings pattern. A six-fold increase. I can assure you our team is primed and ready to take full advantage of the current economic downturn. As always Nucor will move ahead with the discipline and conservative business practices we applied consistently throughout this cycle. With the Nucor culture’s can-do attitude and energy level we will continue to opportunistically strengthen and expand multiple growth platforms. We will do that by ongoing implementation of our highly successful four-prong growth strategy. First, optimizing our existing operations. Second, Greenfield growth exploring new technologies and marketplace niches. Third, international growth through joint ventures. Fourth, pursuing strategic acquisitions. The opportunities that were not available a year ago are now too numerous to mention. We will be selective but more importantly we have the balance sheet to participate in the continuing consolidation if the price is right and the culture fits. We will exercise this strategy within our core business of steel making, up stream raw materials and down stream steel products and international growth. It is also extremely important to recognize that Nucor’s success is the result of our team’s long-term focus. Managing with a long-term perspective is at the core of everything Nucor does. With that perspective we strongly believe that fixing our country’s financial crisis will require long-term thinking and long-term solutions. It is time for our nation to address long overdue energy and infrastructure needs. It is time also to restore America’s manufacturing base with sound fiscal and trade policies. Quite simply, the United States must get back to the business of making things. We must also make a very strong move towards energy independence and a focused rebuilding of our physical infrastructure. A strong manufacturing base will provide the types of jobs that will fuel the sustainable growth and a rising standard of living. Our economy can no longer be built on imprudence or unethical financial engineering or an economy focused on providing short-term gratification to consumers already buried under a mountain of debt. We believe the steel industry will be a significant beneficiary of the policies require to return our nation to sound economic health and growth. Additionally we continue to see a very bright long-term outlook for the global steel industry. Not only do the developed countries have sizable infrastructure building and rebuilding work ahead, the rest of the world’s peoples want a better standard of living and they deserve one. The steel industry will continue to be a dynamic business long into the future. With Nucor’s position of strength to take advantage of profitable growth opportunities both in the United States and in the international markets my confidence has never been greater that Nucor’s best years are still ahead of us. At this time I would like to ask Terry Lisenby, our CFO, to share with you his thoughts on our results and on our financial position. Terry?
Terry Lisenby: Good afternoon. Nucor’s third quarter 2008 earnings of $2.31 per diluted share exceeded our increased quarterly earnings guidance of $2.15 to $2.20. As Dan mentioned, third quarter earnings per share were a record exceeding the previous record of $1.94 set in this year’s second quarter. These better than expected earnings were the result of strong overall performance across our diversified product lines and impressive contributions from our acquisitions over the past 18 months. It is also worth noting that our third quarter results included a LIFO inventory charge of $140 million. At the close of the quarter, Nucor’s LIFO inventory reserve exceeded $1 billion compared to a LIFO inventory reserve of $582 million at year-end 2007. The first nine months of 2008 diluted EPS were $5.70, also a record. Our year-to-date EPS exceeded our annual record of $5.68 reached in 2006. These first nine months of 2008 earnings included a record LIFO inventory charge of $423 million. Our balance sheet positions Nucor to not only weather today’s economic turbulence but also to capitalize on attractive investment opportunities that may develop in an economic downturn. As always, Nucor will be both disciplined and opportunistic in pursuing profitable growth that rewards our shareholders with attractive returns. At the end of the third quarter cash and short-term investments totaled $1.7 billion. We have a written policy in place for our cash investments that focuses on safety and capital preservation. As one example of this policy, Nucor has never invested in auction rate securities. Debt totaled $3.3 billion and our debt to capital ratio was 28%. $3.1 billion of our debt matures in 2012 and beyond with approximately $2.2 billion maturing after 2017. Nucor holds the highest credit rating of any North American metals and mining company awarded by Standard and Poor and Moody’s and in addition to giving us superior flexibility in growing our business our strong credit ratings provide us significant cost savings in managing our business. Cash provided by operating activities for the first nine months of 2008 was $1.3 billion. While very healthy, cash flow has been impacted by the higher working capital requirements resulting from increases in [stret] costs and steel selling prices earlier this year. Increased receivables and inventories reduced operating cash flow by about $1.5 billion. However, recent dramatic declines in scrap prices can reduce our capital requirements and increase operating cash flow in the fourth quarter. Capital expenditures for this year’s first nine months were $806 million. Over half of those outlays were Greenfield projects at Memphis SVQ bar mill, the Decatur Sheet Metal galvanizing facility, the Arkansas Castrip plant and the Utah Building Systems facility. Full-year 2008 capital expenditures are expected to be approximately $1 billion. The Nucor team has never been more excited by our extremely strong, competitive position and our ability to continue generating attractive returns on our shareholders valuable capital. Thank you for your interest in Nucor.
Daniel DiMicco: Thank you Terry. Ham Lott will update us on Nucor’s down stream steel products businesses. Ham?
Hamilton Lott: Good afternoon. Nucor has significant market provisions in four fabricated construction products; open wedge steel joist, steel decking, free engineered metal buildings and rebar fabrication. I want to thank all of the fabricated construction products teams for their hard work in today’s very challenging economic conditions. I also want to thank our Harris Steel group for their strong contribution to Nucor’s profitability through the third quarter. Nucor’s downstream businesses have more than four decades of experience in managing through cyclical downturns. Through the cycles these businesses have generated and will continue to generate attractive returns for Nucor shareholders. At the same time, the base load of volume our downstream businesses provide Nucor’s steel making operations is particularly valuable to the mills and to Nucor overall during economic downturns. As always the mills earned this business by providing quality, service and competitive pricing to their sister divisions. Key to Nucor’s success in downstream steel products is our ability to build market leadership positions. For that point, Harris Steel continues to be a powerful new platform for Nucor in the rebar fabrication business. In August, Harris acquired Ambassador Steel Corporation for a cash purchase price of approximately $185 million. Based in Auburn, Indiana, Ambassador is a fabricator and distributor of rebar. In 2007, Ambassador shipped 422,000 tons of fabricated rebar and distributed another 228,000 tons. With the addition of Ambassador to the other acquisitions Harris Steel has completed, our rebar fabrication business has more than doubled since Nucor acquired Harris in March of 2007. Ambassador does more than just significantly grow the size of our business. Ambassador expands our footprint through the Midwestern U.S., the Gulf Coast region and into the southeastern United States. We are very excited to welcome the Ambassador team to Nucor and the Harris family.
Daniel DiMicco: Thank you Ham. I’ll ask our Chief Operating Officer, John Ferriola, to update us on Nucor’s steel making and raw materials operations.
John Ferriola: I will begin by offering my strongest congratulations to all of our teammates of Nucor’s steel mills and raw materials businesses for delivering outstanding results during the third quarter and the first nine months of 2008. Record steel mill profitability was achieved during an unprecedented surge in the pricing of our key raw material, scrap. From the fourth quarter of 2007 to this year’s third quarter, Nucor’s average usage cost of scrap and scrap substitutes nearly doubled. It increased from $285 per ton in the fourth quarter of 2007 to $533 per ton in the third quarter. Yet over this same period the spread between selling prices and the [challenge] costs at our steel mills, actually increased by $193 per ton. It is extremely important to note the significant earnings contribution from our recently acquired David J. Joseph scrap business. Not only did the DJJ processing and brokerage groups report strong earnings, their interaction and partnership with our steel mills was critical to Nucor’s record steel making profits. Our excitement continues to build over what we are achieving by bringing together the best of the best in both the steel making and scrap businesses. I again congratulate and thank the teams at all of our steel mills and raw material operations for once again getting the job done for our customers and our shareholders and especially for getting it done safely. Dan noted in his remarks that the economic environment has become more challenging in the fourth quarter as the result of the financial markets crisis. Even more importantly Dan discussed our company’s position of strength. I will highlight three of these strengths. Our teams capitalized on these strengths to grow our long-term earnings power through the cycles, both up and down. First, Nucor’s cost structure is highly variable. Scrap, scrap substitutes represent more than half of our total cost of making steel. The price of scrap is highly elastic, responding to changes in demand to steel and steel products. Earlier this year we witnessed a sharp rise in scrap prices driven by strong global steel demand. Now with the abrupt change in the economic picture we are seeing dramatic declines in scrap prices. After reaching peak levels in July of this year the American metals market, Chicago shredded index price has dropped by $360 per ton over the last three months. The American Market, Chicago #1 Bushlings price has dropped by $600 per ton over the same period. Over many previous economic cycles, declining scrap costs have provided a significant cushion to our margin against the adverse impact of lower steel demand and prices. I should also point out other components of our cost structure are highly variable including labor, energy, alloys and other inputs. The second important strength I will highlight is the flexibility of our production process. Nucor produces steel using 22 electric arc furnaces throughout our company. The beauty of the electric arc furnaces or EAF’s as we call them is that they can literally be turned on and off at will. Through its very flexible nature, EAF’s allow our steel mills to almost instantaneously adjust our production to match market demand. In fact, each of our mills is essentially a market mill that produces very specific product ranges and as our products are highly custom made, reflecting a large number of different chemistries, shapes and sizes, it is market demand or order entry that determines our production schedules. That flexibility was evident as recently as the month of September. As orders began to decline last month we were forced to cut production due to reduced order entry and avoid building unwanted inventory. For that reason, our third quarter 2008 steel production declined nearly 9% from the second quarter level. The cut backs varied by mill and by product, reflecting differing demand patterns for individual products. The third important for our operation is our product diversification. Nucor is North America’s most diversified steel producer. Here is the composition of our sales tons through the first nine months of 2008: 31% sheet, 21% bars, 12% beams, 10% plate, 12% down stream steel products and 14% scrap processing and brokerage. In the third quarter we again benefited from our diversified product portfolio. Relatively strong volumes at our plate and beam mills partially offset softer volumes at our sheet and bar mills. Highlighting the value of Nucor’s product diversification were record earnings performance from our bar, plate and structural steel mill groups for the first nine months of 2008. I strongly agree with the point made earlier by Ham Lott. Our steel mills always highly value the opportunity to earn business in Nucor’s steel product divisions particularly during economic downturns. Finally, I had the privilege to spend some time last week out on the shop floor of one of our steel mills. As always I was impressed and pumped up by the power of the Nucor culture. Our team is focused and eager to leverage our strength to take full advantage of whatever opportunities the market may bring to us in the days ahead. They were confident we would come out of this down cycle stronger than we entered it, just as we have done in the past.
Daniel DiMicco: At this time I’d like to take questions.
Operator: (Operator Instructions) The first question comes from Kuni Chen – Bank of America Securities.
Kuni Chen – Bank of America Securities: Just to start off on the operational front I know you are not giving a lot of color on what is going on in the fourth quarter but if you just look at the way things are running here in October can you give us some view on utilization rates across the sheet, bar and structural mills?
Daniel DiMicco: We don’t break down our utilization rates by product. We usually only talk about our utilization rates in a cash sense and in that regard in the third quarter we ran our operations I think in the neighborhood of 80%. We’ll let everybody know what we run in the next conference call for the fourth quarter.
Kuni Chen – Bank of America Securities: On the scrap side of the equation one of your industry peers is seeing basically break even scrap profits here in September and October. Is that a similar experience you are seeing at DJJ?
Daniel DiMicco: Here again we don’t separate out the profitability by that particular business group. I can tell you the DJJ profitability up to this point and we believe going forward has been a grand slam home run. It has been extremely profitable, far beyond what we had anticipated. When you go through any period of transition there is always a catch-up phase. So the comment on where things might be at this point when you are in a transition in pricing wouldn’t be appropriate but certainly as we focus on any 6-12 month period that organization that is now part of Nucor will continue to be very profitable.
Kuni Chen – Bank of America Securities: As far as any M&A potential goes, my view is I don’t see much happening unless there are sales of distressed assets. I want to know if you agree with that and kind of which areas of the industry you would see more of that financial distress first, that you might be able to take advantage of.
Daniel DiMicco: I don’t want to get into commenting on who might be distressed and who might not or what segments of the industry might be…you can judge that for yourself based upon some of the balance sheets that may or may not be out there in general. I think most of the steel players that are out there and our customers, service centers and fabricators have been in a very profitable trend the last five years and I think what might either injure or accelerate any opportunities for mergers and acquisitions will be what kind of clarity businesses and industries get over the remainder of this year as to what the hell is going on in the financial world. I think probably everybody has just kind of stopped trying to figure it out. If you have got it figured out please feel free to share it with the other 360 million of us.
Operator: The next question comes from Michelle Applebaum – Michelle Applebaum Research.
Michelle Applebaum – Michelle Applebaum Research: Louisiana, exciting projects. I’m hearing some flack in the marketplace about people expecting you to announce cancellations. Can you just…I know perhaps the opportunity to acquire might have improved, but can you give me your thoughts on that?
Daniel DiMicco: First off, we have a very strong cash flow position and we don’t see that changing going forward. Secondly we have a very sound balance sheet and our ability to borrow in addition to the fact we have $1.6 billion in cash on hand and that should be growing doesn’t necessarily follow that we won’t continue to focus on long-term projects. We may put in some cases temporary holds on things to try and sort out what is going on in the world but in respect to this particular project it is one of the numerous parallel paths we are following. Multiple paths for growth and we view this as a long-term project. It is not due to start up until probably 2011, maybe late 2010. We still haven’t got the permitting complete yet although it is moving along very nicely. We still haven’t actually got the incentives passed in the state of Louisiana. There is a chance of going there. It just hasn’t been voted on yet although the governor said it wouldn’t be an issue. We haven’t even gotten our board to give final approval for this because that approval is pending the incentives and the permitting either in Louisiana or elsewhere in the world because we are actively looking at another site in South America. So if you think about Nucor’s long-term focus, people should not expect us just to walk away from a project that is 2-3 years down the road and has long-term implications for the success of the company particularly our flat roll business and our growth opportunities in front of us. There has been no such announcement made. There is no such announcement contemplated. But as usual if anything can change over time depending on what opportunities pop up and we take advantage and reserve the right to be opportunistic at any given point in time.
Michelle Applebaum – Michelle Applebaum Research: So parallel paths sounds like a great idea. My next question is if you had to rate, and I asked Dave Hannah this and he is a customer of yours, if you had to rate your stock price on a scale of zero to 10 where 10 is terrific and your business sense of the environment on a scale of 0-10 where 10 is terrific how would you rate those?
Daniel DiMicco: First of all let me congratulate Dave and Greg and their entire team for having a very, very strong record performance. They are a great customer of ours and we are very happy to see them being so successful. It is a good sign for the industry overall. As far as rating our stock performance, can we use negative numbers?
Michelle Applebaum – Michelle Applebaum Research: That is exactly what Dave said.
Daniel DiMicco: It is obviously something that is extremely disappointing to all of us because we have had consecutive first, second and third quarter record earnings. But what is going on in the stock market really has nothing to do with the performance of companies like Nucor. That is unfortunate but that is a short-term issue. Long-term Nucor stock and shareholders are going to do very well. As far as current business conditions go, we never look at just one specific short-term point. We are at this point right now where we will end up 2008 with a record performance. If I take it from that standpoint and business overall has been a 10 up to this point in time. Going forward through the fourth quarter we haven’t issued any guidance because of the lack of visibility that is out there on what the heck is going on with the credit flows. These are big issues for our customers and our customers’ customers and the American consumer and state governments and the federal government. A lot has to be shaken out yet. If I had to take a look at how I see things going the next 12 months I would say it is probably going to be a 7 or 8.
Michelle Applebaum – Michelle Applebaum Research: That is exactly what Dave said. Okay, that must mean you are right. 97-98 the Asian financial crisis happened in September, disarray in November came after. Imports went up in October and then from November to April we had a relatively stable market in the United States. Interest dropped in the first four months of that period because buyers were so afraid to buy imports that prices would drop when it got here. I bounced this off them as well. Just a lot of similarities right now. Buyers are talking about huge price declines and they are all saying they are not buying imports though because they are afraid prices will be worse by the time the stuff gets here because they lock in those prices. So in that environment the mills are raising prices. In this environment you are cutting prices. Do you think we have a chance then to see a similar kind of soft landing as we could have if we hadn’t raised prices in 98?
Daniel DiMicco: That was a mouthful. First off, there are so many unknowns out there. As I said in my prepared remarks the actions of the governments around the world assuming they do have the desired effect and I believe they will of getting credit flowing again up and down the chain from bank to bank and bank to consumer whether they be business consumer or individual, that will do nothing but support our long-term view of increasing steel demand globally and steel consumption globally. Together with what I believe will be strong defense on whatever administration takes over next to stimulate job growth and stimulate the creation of jobs will act to create a stronger demand for steel in particular as we go forward and get back on the track we have seen for the last five years. Originally we looked at what was going on today as a short currency situation being impacted by some of the more steel consuming areas of the world being out of business basically for six months or more, for the holy days in the Middle East, and nobody forecasted the financial crisis actually hitting at this time although some people did talk about it several years ago as being a possibility. So in our view of the future it is more complicated than just answering a question about what you are saying happened back then. I can tell you this; we have all gotten a lot smarter about what took place back then. We all learned some pretty hard lessons. We also went to great lengths to get our government to respond to the dumping that was taking place in gross violation of global and domestic trade laws and I would be foolhardy for the world to start dumping their products in the United States when we are one of the lowest cost places to make steel in the world. China being one of the highest cost places. The action by our government and by the industry will be swift and it will be effective. That together with the fact scrap prices and raw material prices certainly for the many mills have come down very strongly and it gives us a lot of latitude to deal with whatever threats of imports that might be out there as they develop through foreign fighting programs and what have you. Our goal is to maintain a profitable business, as highly profitable as possible, and we have the tools in our arsenal to deal with an excess supply created by dumping and illegal trading activities that some companies might try to perpetrate. I think we have all learned a hard lesson and we are all proactive in the way we are looking at what is going out there in the world. I think we also have a lot more global cross-fertilization of companies where companies internationally have operations all over the world and I think that aids in preventing a lot of the dumping we saw back in the mid to late 90’s where we had to go and get the 201 and we had to also go out and fight individual cases. I think there is a lot of things that work in our favor right now for having a stronger, more profitable market going forward even into the soft periods and for keeping the industry where it has not only had record highs at the top of the cycle it will also allow record highs at the bottom of the cycle.
Operator: The next question comes from Timna Tanners – UBS.
Timna Tanners - UBS: I wanted to ask if you could talk a little bit about lead times and end markets with a little bit more specifics about what you are seeing.
Daniel DiMicco: Lead times on our rolling schedules?
Timna Tanners - UBS: I didn’t know if you would break it out by product. That would be optimal. But if you could talk about lead times for sheet, long products, bars, etc.
Daniel DiMicco: Things really haven’t changed a whole lot from where they have been. Plate and beam markets are still very solid. Don’t mistake in our price drop of $80 as a sign of weakness. There has been a little bit more of an issue on the bar side but that has mostly been driven by the uncertainty out there and by the fact scrap has fallen so dramatically that customers have just put off buying anything more than they absolutely need and are working down their inventories out of fear of the unknown. They have already been hard hit with respect to the housing industry and the automotive industry. Flat roll continues to have its issues because of both of those segments being down and because of what we believe is a temporary impact and seasonal slow down which we believe is now going to be going the other way if it hadn’t been for the financial crisis. So as far as business goes, plate and beam is business as usual. Sheet unfortunately business as usual. Bars are still very profitable, very strong and we expect to see people’s inventories go the other way here not too far in the distant future when the uncertainty of the financial crisis begins to dissipate, which we think it will.
Timna Tanners - UBS: My other question would be on your dividend policy. It was great to hear the update on how you are thinking about using cash and the flexibility there. With regard to the dividend policy at the end of 2007, looking backward for 2007 performance you lowered the special dividend. Can you give us a little bit more parameters about how you think about the special dividend?
Daniel DiMicco: Our special dividend all along, if you go back to our original announcement of it, has been focused on performance and rewarding our shareholders for strong performance. We stated at that time the special dividend would stay in place as long as our earnings continue to grow. The one year where they went down we did reduce it, as you stated. We also reserved the right to temporarily stop special dividends in the event the economy got significantly more difficult or if we had some very unusual and positive opportunities for use of cash that would bring greater value to our shareholders through acquisition opportunities. So, the special dividend has been a good thing and I know a lot of our shareholders have valued it. As you know we increased our base dividend significantly to where it is now at $0.32 a quarter, $1.28 a year. I think it is almost 5% at today’s stock prices but that special dividend has been billed all along as not guaranteed. That is why it is not in the base. It could change depending upon cash availability and cash availability can change upon difficult economic times or opportunities to grow our business through large acquisitions.
Operator: The next question comes from David Gagliano - Credit Suisse.
David Gagliano - Credit Suisse: I want to take a quick stab at the fourth quarter given we are a couple of weeks into it. Just to say sheet and bar volumes down 16% and 22% sequentially in Q3, since the end of Q3 obviously we have had some issues with demand and obviously we are coming into holiday season. So my question is based on what you are seeing here from your customers today should we expect the sequential percentage decline in sheet and bar volumes to be more or less significant in Q4?
Daniel DiMicco: Let me try this again. I appreciate why you are asking that question. I know you will appreciate my answer. If we had the visibility to answer your question we would have given you definitive guidance. We certainly would have at least given you qualitative guidance. Things have changed. Things right now are on a day-to-day and week-to-week basis, not a month-to-month basis the way they were through most of the third quarter. So it is entirely possible it could stay at those kinds of levels. It is entirely possible order entry could increase in November and December to where we are running at rates more similar to the full third quarter rates I mentioned already was a little over 80% of normally planned operating time. We just don’t have the clarity and I defy anybody to honestly speak with clarity about what is going to happen over the next two months.
David Gagliano - Credit Suisse: So I guess is it reasonable to assume order entries are in the last two weeks…
Daniel DiMicco: It is reasonable to assume we haven’t said anything about what our order entries are.
David Gagliano - Credit Suisse: If scrap stays where it is for the rest of the quarter, can we get a sense what the LIFO impact would be in Q4? Is that related to the previous answer or can we at least get a sense of the charge, benefits, and stuff like that?
Terry Lisenby: A lot depends on quantity of inventory. Inventory quantities.
Daniel DiMicco: The LIFO depends on two things; the value of the inventory and the volume of the inventory. A lot of that is dependent upon how things proceed through the quarter. Certainly we have a very large LIFO charge on the books and at some point in time that charge will get reversed. Whether it happens this quarter or next quarter we really don’t know until we get to the end of the quarter. I wish I could give you a better answer than that but this metallurgical engineer and CEO can’t seem to get a better handle on it than that. So, I haven’t heard a better answer to it even from the financial folks.
Operator: The next question comes from Wayne Cooperman – Cobalt Capital.
Wayne Cooperman – Cobalt Capital : I’m just trying to understand, scrap prices have plummeted so your cost structure is just getting better and better versus everyone else. Are you guys going to reduce production or are you going to just take that cost advantage and sort of let everybody else who is in worse shape cut production and you guys will just sit there and make your $100-200 a ton like usual?
Daniel DiMicco: First off, as scrap prices come down being our single largest cost component by far the opportunity for margin expansion is tremendous. What that allows us to do is make sure we are competitive both with imports and with domestic competition. We have always worked to maximize our profitability through whatever business conditions we have. We continue to do that. There comes a point where dropping prices for the sake of dropping prices doesn’t necessarily bring in additional volume. When people are frozen in place because of the uncertainty created by this financial mess that is out there, where even the greatest minds in Washington and Wall Street are still trying to sort out, as well as in the banking communities around the world, people are in a wait and see mode. They are ordering hand and mouth. Not because business isn’t there but because they are not going to get caught with excess inventory on the ground so they run very lean until they get better clarity. So just dropping prices for the sake of dropping prices doesn’t necessarily bring in more volume. Where we pay particular attention is with what is going on with respect to the imports and we will reserve the right to be competitive against import offers so that they stay where they need to be somewhere else.
Operator: The next question comes from Michael Gambardella - JP Morgan.
Michael Gambardella - JP Morgan: A little bit longer term question. Let’s assume that this credit mess gets straightened out and I know the credit crunch we have globally now is doing all kinds of crazy things. People can’t get working capital lines. People can’t get letters of credit so there are all kinds of weird things going on. Let’s just assume that works itself out in the next 3-6 months or whatever. With your stock pile of cash sitting there right now today and the prospects of your cash flow going up as you bring down working capital would you opt to be more opportunistic and take off some acquisitions right now at these extremely distressed stock prices? Your stock price is obviously very distressed but you are not the only one out there. Everyone has got a distressed stock price. The only thing is you have the most cash. I would imagine there is incredibly accretive deals out there for you right now. Why wait for the stock prices to jump 6-9 months from now when you are looking back at the credit crisis?
Daniel DiMicco: Short of giving you specifics in timing and dates when these acquisitions take place, I say that tongue in cheek, as I mentioned during my prepared remarks the opportunities in front of us are greater today and they were strong before. There is opportunities before us we didn’t see or wouldn’t have been there a few short months ago and even weeks ago. So we recognize our financial strength. We recognize that we are in a very good position to do a lot of things. We will do whatever we do in a very typical Nucor conservative not overpaid fashion. I don’t disagree with you that everybody’s stock prices are pretty well beat to death. I believe the future is bright for a lot of the stocks that are out there not only in our space but in other spaces. As to whether or not we will take advantage of the current situation it is like anything else. First off, we don’t do hostile deals unless somebody does something to warrant that and I won’t go into the details of that but nobody likes to have sand kicked in their face. So it would have to be a deal people on both sides would be interested in doing. We are in a position to be able to do a lot of things and that is probably not a secret as you all know so we are examining a lot of opportunities. Whether we execute now or three months from now or six months from now, I think we’d like to see a little more clarity and see some of the things that are being done prove to be corrective before we make any big moves but certainly those opportunities are there for us and they will be there for some period of time. Even if there is some stock appreciation that won’t make the opportunities less desirable. So I don’t know how else to answer that. I apologize.
Michael Gambardella - JP Morgan: With the abrupt fall in the stock prices here in the U.S. are you a little bit more focused now on acquisitions in the U.S. than overseas since they would have more synergies with your operations?
Daniel DiMicco: In general I think the answer is probably yes there. Just because the things that weren’t apparent six months ago are apparent as potential opportunities today. There are still opportunities for us overseas and as you know we are still actively working on the [Signor] joint venture. That again would be the preferred way we would grow through joint ventures internationally. So in general acquisitions yes we are always more comfortable with acquisitions here and certainly there are more opportunities for that today both up stream and down stream and in the steel making space. We will keep our options open.
Operator: The next question comes from Sal Tharani – Goldman Sachs.
Sal Tharani – Goldman Sachs: Can you give us some color on what kind of volume did flow through from the different acquisition this quarter?
Daniel DiMicco: Mr. Stratman would you like to cover that ground?
R. Joseph Stratman: The transition at Dufordofin-Nucor has gone very well. We have two of our folks working in Europe now working actively with the operation. We have been very participatory in the last quarter with planning and execution of their strategies. In the third quarter the Dufordofin operation was neutral to our earnings situation because purchase accounting adjustments were handled there and as we look forward we continue to see positive results coming from Italy and look forward to the fourth quarter being accretive to earnings.
Sal Tharani – Goldman Sachs: What kind of volume was involved there?
R. Joseph Stratman: Are you talking about tonnage volume?
Sal Tharani – Goldman Sachs: Yes.
R. Joseph Stratman: They were definitely on par with what we assumed as we did our due diligence. They produce roughly 900,000 to one million tons a year and that is the kind of volumes we saw in the quarter.
Sal Tharani – Goldman Sachs: So we should assume similar volumes for model purposes?
R. Joseph Stratman: I would say the fourth quarter looks positive. I would say that in Europe they have seen a little bit of de-stocking activity at the service center level so you may see a little bit lower operating volumes because of that de-stocking. But the demand structure over there still seems to be supportive of that kind of number.
Sal Tharani – Goldman Sachs: Can you give us some color on your decision to open the rebar mill in Kingman? What prompted it? What do you think the landscape of demand over there is and particularly there is another mill being built in Arizona also. How do you see the competitive landscape over there?
Daniel DiMicco: Certainly the facts for our mill in Kingman are going to be that it will be the most competitive, lowest cost rebar operation in the country. Particularly when you consider how much money we’ll have in total in the project. One of the things about the Kingman project is product type and I’ll let Mike Parrish give you some flavor for that and why that is of interest to us.
Michael Parrish: We are adding actually new products in Kingman for us in the west. It will be coil rebar and rod with the possibility of it going more downstream with wire and wire mesh. So we will be doing some straight rebar but the coil products are the opportunity for us there. Right now we still have plans in place to continue the process of starting that up and like Dan said it is going to have very low capital cost and low operational cost so we can flex the tonnage up and down as it fits the market conditions.
Sal Tharani – Goldman Sachs: The last question on scrap. What volume are you carrying? Is it more than usual, less than usual?
Daniel DiMicco: Yes.
Sal Tharani – Goldman Sachs: What?
Daniel DiMicco: The answer is yes depending upon market conditions and production rates and what have you. We are probably a little richer in scrap than we would like to be but that is not unusual when you go through a rapid transition in the market like we have in some products over the last month but that will get worked out before the end of the year. Before the next question I just want to make one clarification. I mentioned our utilization for 2008 through the third quarter was 80%. It was actually 86.5%. I was corrected over here on that. So I just want to make sure you have the right information.
Operator: The next question comes from Bob Richard - Longbow Research.
Bob Richard - Longbow Research: Can you give us some color on the export market? I presume that activity slowed up. I’m wondering if there is still available business there.
Daniel DiMicco: There is no doubt it slowed up because the entire world has kind of been shaken to its foundations here over the last month or so. We saw the Chinese up tick their exports while they were going through their Olympic outage and that certainly made things more competitive internationally. We have been exporting at a very heavy rate up until the last month or so. There are still export opportunities out there. We are in the process of executing on several export opportunities. I’ll let John Ferriola provide some additional color.
John Ferriola: Year-to-date we have exported about 1.7 million tons and we do have some business going forward into the fourth quarter and we continue to work on new opportunities in the fourth quarter. 1.7 million tons, about one million tons of that was exported to the NAFTA countries. The remaining overseas.
Bob Richard - Longbow Research: With prime scrap so available right now do you have to import pig iron?
Daniel DiMicco: We don’t have to import pig iron. Typically we have a certain percentage we use in our mix regardless of the availability of prime scrap. It has to do with issues of quality and productivity and at present times we have no issues with respect to our pig iron situation being where we would have to use more prime scrap as opposed to pig iron. So it is not a question of do we need to import. That was what your question was. We are kind of in a steady state situation right now. Typically you have to order your pig iron 3-6 months ahead of time and so there is things coming in. Prices internationally for pig iron have dropped off dramatically just like they have for prime grade so it still makes sense to use it for part of your mix but that is depending on the type of steels you are trying to make particularly in the flat roll area.
Operator: The next question comes from Mark Parr - KeyBanc Capital Market.
Mark Parr - KeyBanc Capital Market: I had just one additional question. I believe you, if I’m not mistaken, you announced base price increases for November on rebar and structural and roll base prices on merchant bar. At least that is what the trade press has reported.
Daniel DiMicco: For November?
Mark Parr - KeyBanc Capital Market: It prices based on the October buy. I guess that would be in effect for November.
Daniel DiMicco: On rebar I don’t think we changed base price. We actually went down a full drop in the scrap surcharge on shredded and that went into effect immediately, not the first of November. On merchants we went down $80 I think effective immediately. On beams and plate we went down $80 and in one case that is effective November first and another case it is immediate. Of course contract price on sheet we went down the full amount of the bushling move and contracts. Spot is spot. That just depends on negotiations with the customer.
Mark Parr - KeyBanc Capital Market: In the third quarter can you give some color on the mix in the flat roll side, between spot and the contract business?
Daniel DiMicco: I don’t think I answered your question all the way. The base price, as a result of everything I said, the base price on rebar didn’t change. Transaction price came down. Base price on plate and beams actually went up and went up on merchants $50.
John Ferriola : The contract business in the third quarter was about 40%. Roughly 40%. A hair under 40%. 38% to be exact.
Mark Parr - KeyBanc Capital Market: Would you expect that mix…you really don’t know what is going to happen in the fourth quarter so I can’t even ask the question.
John Ferriola: I can comment to say we do have contracts expand out. Basically they are annual contracts so we will have about 38-40% of our business in the fourth quarter on sheet that is already under contract. So it will be about 40%.
Daniel DiMicco: Keep in mind these contracts are written so there is a plus or minus volume in them. So if they need more steel they can go over by X amount and if they need less steel they can reduce their actual committed by the same percent. That will vary by contract.
Operator: The next question comes from [Seneel Altodar] – Sentinal Asset Management.
[Seneel Altodar] – Sentinal Asset Management : You talked about the business is kind of day-to-day or week-to-week business. Is this more pronounced in certain segments than the others? Is it possible to get a little color on that?
Daniel DiMicco: I think it is a general statement because of just the nature of the financial crisis and how everyone is looking to see how things sort themselves out. As I mentioned earlier, the plate and beam business continues to be strong. The bar business continues to be good. The weakest of our products is the sheet market which is not any news. It has been well publicized what has been going on there. But it is still very profitable. It is a general statement overall. Everybody just kinds of stops. Some folks went through a state of shock when this financial mess just kind of fell out of the sky on everybody. I’m talking about the economy. I’m not talking about the steel industry per se. Of course it does affect what happens in the steel industry. It does affect how our customers think about how they should work down their inventories or hold their inventories or expand their inventories. Certainly today almost everybody is taking a very hard look at their capital situation; a very hard look at what their inventories are and one sure fire way to generate cash in that environment is to liquidate inventories. So far inventories are pretty low and what our customers need to be careful of is when this thing turns getting the steel that they need because it will turn everywhere. The mills will not be able to produce at a rate to fill up the inventories to levels they would like without some tightness in the marketplace. Our customers have been in business long enough to know that. So they are watching very carefully how to handle their inventories and that is what has created the issue in the last three weeks.
[Seneel Altodar] – Sentinal Asset Management : On the state and local government side, the projects they are considering, bridges reconstruction, highway reconstruction, those are also getting put on hold? Are they delayed or have they been scrapped out?
Daniel DiMicco: No. Not at all. In fact we have seen very minimal cancellation on non-residential and non-residential non-building. As you know the federal government passed an emergency $8 billion infusion into the highway trust so that projects could continue to go forward at the state and local levels as well as the federal level and national level. We have not seen that.
[Seneel Altodar] – Sentinal Asset Management : May I ask about the 2009 period for that year? Maybe it might be too far out probably given the very low visibility for the fourth quarter. But if you had to take a guess how 2009 is going to be in terms of your volumes, in terms of the pricing or the margins? Can you give us some kind of color as to what you are thinking in the initial status right now?
Daniel DiMicco: Let me put it to you this way. If what has happened over the past month didn’t happen, 2009 would be a very good year. Okay? But it did happen. The reality is it did happen. It has turned the world upside down and there is no point in commenting on the fourth quarter let alone 2009 at this point in time. When we are comfortable being more specific about what is going on for us because we have some better visibility we will share it. 2009 has the potential to be another very good year with the global consumption of steel continuing to increase, but as of right now it is a big I don’t know. I think right now the stock market has reflected some of that to an extreme and it is just not something we can get in to forecasting.
[Seneel Altodar] – Sentinal Asset Management : On your share repurchase I think your activity was extremely low in the third quarter. How many shares are still remaining on the past authorization?
Daniel DiMicco: Somewhere around 30 million. As you know we have got a lot of interest in our buying our stock back on the last conference call. As we said at that time with everything we had done over the last couple of months we didn’t think it was appropriate. Thank goodness we didn’t act on the suggestions that were made by four or five people to buy our stock back when it was in the $60’s. Our strategy on that still hasn’t changed.
[Seneel Altodar] – Sentinal Asset Management : So you might be more aggressive now at the current price in that case?
Daniel DiMicco: I have no comment on how aggressive we would be or not. As I mentioned before it is not our first priority. While we do recognize that is some use for our cash if we decide to go that way.
Operator: The next question comes from Barry Vogel - Barry Vogel Associates.
Barry Vogel - Barry Vogel Associates: Terry, what is your estimate for D&A this year?
Terry Lisenby: $490 million for depreciation and about $70 million for amortization.
Barry Vogel - Barry Vogel Associates: Dufordofin, where is it on the P&L? I didn’t see any line items.
Terry Lisenby : There won’t be a line item unless it is material.
Barry Vogel - Barry Vogel Associates: Where is it? Isn’t it the joint venture in the equity accounting?
Terry Lisenby : Right now it sits in admin and other. Remember it is really small at this point.
Barry Vogel - Barry Vogel Associates: What were the accounting charges involved with that?
Terry Lisenby : Just typical purchase accounting charges.
Barry Vogel - Barry Vogel Associates: So when does it come out of that administration and other?
Terry Lisenby: When it is material.
Operator: The next question comes from Dave Martin – Deutsche Bank.
Dave Martin – Deutsche Bank: First, coming back to the utilization rates, I think you mentioned 86.5%. Is that year-to-date or is that the third quarter?
Daniel DiMicco: That was third quarter.
Dave Martin – Deutsche Bank: Can you give us the number for September possibly?
Daniel DiMicco: I don’t have that number. I apologize. We look at it on a quarterly basis, not on a monthly basis. The calculation is there but I don’t have it in front of me. I will say this. It would have been somewhat lower in September, I just can’t tell you how much.
Dave Martin – Deutsche Bank: Secondly, I’m sure you are doing some planning for 2009 and you talked earlier about some of your projects. Can you give us some estimates of what the range of possibilities would be for capital spending next year? I’m sure Louisiana is an important part of that. Can you give us an estimate for what capEx spending could be with or without Louisiana depending on when you move forward with that?
Daniel DiMicco: I think all of our existing projects we have been working on in 2008 including Memphis are complete. The iron project a lot depends on whether or not the permitting goes through as to how much our spend will be next year or not. It could be several hundred million dollars or it could be nothing.
Dave Martin – Deutsche Bank: Of the billion you are spending this year how much is growth related?
Daniel DiMicco: All of it. Memphis is growth related. Utah is growth related. Galvanizing is growth related.
Dave Martin – Deutsche Bank: They represent how much of the billion?
Daniel DiMicco: [inaudible] is growth related. So what isn’t growth related?
Dave Martin – Deutsche Bank: There is a certain amount of capEx you would be doing at your legacy assets.
Daniel DiMicco: On an average probably somewhere around $400 million of that. I don’t have a specific number of what this year would be.
Operator: The next question is a follow-up from Michelle Applebaum – Michelle Applebaum Research.
Michelle Applebaum – Michelle Applebaum Research: I wanted to ask you would you give us some insight into what your operating rate was as you ended the quarter. Was that the 80%? Was it a slip?
Daniel DiMicco: No, it was a mistake not a slip.
Michelle Applebaum – Michelle Applebaum Research: It sounded like it could have been.
Daniel DiMicco: Is that a specific question? I gave you a specific answer. It was not a slip, it was a mistake and I got an elbow saying no it is 86.5%.
Michelle Applebaum – Michelle Applebaum Research: Can you comment on what you ended the quarter operating rate?
Daniel DiMicco: If it was a slip I wouldn’t have corrected myself. If it wasn’t a slip I would have not corrected myself and just let it go.
Michelle Applebaum – Michelle Applebaum Research: Can you comment on the operating rate as you ended the quarter?
Daniel DiMicco: I just answered a question along those lines and they asked about September and I said it would have been less than the 86.5% but I don’t have the number for how much less.
Michelle Applebaum – Michelle Applebaum Research: And the 80% obviously wasn’t a good number. Could you also give us some insight in terms of your historical perspective? You have been doing this for awhile and I’m wondering if you could comment in terms of the production cuts that we have seen both domestically, globally, what Nucor is doing and put it into some historical context? How does this compare to other cycles?
Daniel DiMicco: Nucor has always governed its production and utilization based upon our order entry. So we have hasn’t changed really at all as far as we are concerned. Orders come in a month ahead of time and customers know what our order schedules are months ahead of time and know when our outages are at the beginning of every year. We operating our plants based upon the order entry. I think most other folks do the same thing. Where we have gotten into trouble in the past is when the rest of the world has shipped their overcapacity here and dumped on our market and created a mess of over-supply. I think we will all be very well focused on keeping that from happening going forward both through our ability to be competitive in the marketplace and also through legal methods.
Operator: The next question comes from Deborah Fine - Fine Capital.
Deborah Fine - Fine Capital: Could you comment on Chinese production cuts and your perception of whether this is the beginning of the end, the end of the beginning and whether they are permanent?
Daniel DiMicco: You are talking about in China?
Deborah Fine - Fine Capital: In China. Where else would the Chinese production cuts be?
Daniel DiMicco: I didn’t know if you were expanding your question to mean the whole world. With respect to China, they themselves have admitted they have 125 million tons of capacity which should be shuttered. It did that a couple of years ago when they were here in the United States in Washington. They have thrown a couple of other numbers since then it might be lower. But in general what is happening over there needs to happen. I think if the government has anything to do with it they are doing the right thing in allowing companies to go out of business to marginal companies that loot and have high energy costs, poor efficiencies and I think it is the natural order of things that it has to happen in China particularly with all the construction capacity they have brought on stream.
Deborah Fine - Fine Capital: But you don’t know if this round of cuts is any more permanent or less permanent than they have been in the past?
Daniel DiMicco: I think some of them will be more permanent.
Deborah Fine - Fine Capital: With regard to stopping dumping by being cost competitive it strikes me odd that we could ever be cost competitive against people who want to dump steel here and I’m trying to understand how you think about adding capacity when people can always dump steel to the U.S. and we can’t compete against it.
Daniel DiMicco: When you talk about stopping dumped steel you have to have a two-fold strategy and that two-fold strategy the groundwork has been laid very well over the last eight years. Our government is on board with that and action will be quick and people have been found guilty of dumping before and it would be very easy for us to go through that process much easier than it was back in 1998 and 1999 when we first had to go through it and so people understand when they are dumping. They understand when there will be repercussions for the dumping. So our ability to lower our costs and maintain strong profitability and put them into that situation is an effective tool we believe in preventing that from happening again. It is a combination of the two. Without the government’s willingness to act you are absolutely right. You can’t prevent the dumping. You have a repeat of what took place in 2001, 2002 and 2003 with 36 steel companies going into bankruptcy. The other thing that acts against that as I mentioned is the fact that the steel industry is much more developed cross-border today than it was ten years ago.
Deborah Fine - Fine Capital: Finally, when you were talking about the stock buyback and saying how great it was that you didn’t buy it at $60 were you saying at the time you knew the stock was going to go to $28 and we just weren’t clued in? Or did you not think the stock was cheap at $60 at the time? Do you not think the stock is cheap when it is trading at two or three times EBITDA?
Daniel DiMicco: No offense Deborah but I can’t believe you asked that question. You being one of the ones that emphasized we should be buying back our stock.
Deborah Fine - Fine Capital:  Absolutely I was.
Daniel DiMicco: Regardless of our strategy. Regardless of what we though was best for shareholder capital. Our comments back then were that we had better opportunities to grow our company profits long-term in front of us as a better use of that capital and while buying stock back is an option and we have done it in the past we would not commit to buying at that point in time and it is a good thing we didn’t. No I did not know the stock was going to go down. I have only lost about $25 million in net worth, which is about 90% of my net worth. I take offense to your question and end of discussion. It is absolutely ludicrous for you to even pose that kind of question. I am very disappointed and this call is now over.
Operator: That concludes the question-and-answer session. Mr. DiMicco I will turn the call back over to you for any additional or closing comments.
Daniel DiMicco: Again I would like to thank our customers, our employees and the team here in Charlotte for working hard and successfully. We had another record quarter and at some point in time, ladies and gentlemen, the investment community including those that were on this call will focus on the strengths of individual companies and the true value they represent and stock prices will be where they should be. They won’t be there because people wish them to be there. They will be there because that is the correct value. The future is bright for Nucor and bright for our shareholders. Thank you very much.